Operator: Ladies and gentlemen, good morning, and welcome to the Kornit Digital Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this call is being recorded. It is now my pleasure to introduce your host, Mr. Jared Maymon, Investor Relations for Kornit Digital. Please go ahead, sir.
Jared Maymon: Thank you, operator. Good day, everyone, and welcome to Kornit Digital's fourth quarter and full-year 2023 earnings conference call. Joining me today are Chief Executive Officer, Ronen Samuel; and Lauri Hanover, Kornit's Chief Financial Officer. For today's call, Ronen will recap the full-year 2023, provide comments on the fourth quarter and then discuss our view on 2024. Lauri will then review the fourth quarter and full year numbers and provide our first quarter outlook before we open it up for Q&A. Before we begin, I would like to remind you that forward-looking statements within the meaning of the Private Securities Litigation Reform Act Of 1995 and other U.S. Securities laws will be made on this call. These forward-looking statements include, but are not limited to, statements relating to the company's plans, strategies, projected results of operations or financial condition, and all statements that address developments that the company expects will occur in the future. Forward-looking statements are subject to known and unknown risks and uncertainties that could cause results to differ materially from those implied by the forward-looking statements. I encourage you to review the company's filings with the Securities and Exchange Commission, including the company's annual report on Form 20-F filed with the SEC on March 30, 2023, which identifies specific risk factors that could cause actual results to differ materially. Any forward-looking statements are made currently and the company undertakes no obligation to publicly update any forward-looking statements, except as required by law. Additionally, the company will be making reference to certain non-GAAP financial measures on this call. The reconciliation of these non-GAAP measures the most directly comparable GAAP measures can be found in the company's earnings release published today, which is also posted on the company's Investor Relations website. At this time, I would now like to turn the call over to Ronen. Ronen?
Ronen Samuel: Thanks, Jared, and thanks to everyone for joining us on today's call. Before we dive into fourth quarter results, let's take a moment to reflect on the transformative journey of 2023, a year that reshaped not only our industry but also Kornit's spending in the market. In 2023, as the cost of capital rose and consumer preferences continue to shift, the industry continue to recognize the need to reduce inventory, improve time to market, limit dependency on broken offshore supply chains and produce sustainably. The traditional practice of overstocking does not make sense in a market characterized by ever changing consumer preferences. As a result, many retailers spent 2023 working through excess inventories that had piled up since the pandemic, while shifting the focus towards fixing their operating models and supply chains. The ideal supply chain that these retailers are seeking utilizes lean inventory management and is backed by fast and constant in-season replenishments. Entering 2023, knowing that we were heading into a challenging macro environment, we defined a few key business objectives that would ensure Kornit was best prepared for its next phase of long-term profitable growth. These objectives included strengthening our product portfolio, broadening the application we serve, diversifying our customer base, successfully launching our Apollo platform, expanding our Direct-To-Fabric business and optimizing our operating model. A key pillar in our strategy of transitioning the market from analog to digital production has been to offer a portfolio of innovative digital solutions that deliver a retail quality and efficiency. After a few years of major R&D investments, we arrived to ITMA 2023 with a remarkably wide portfolio of solutions for on-demand sustainable production. We cemented our leading position with the MAX technology as the new industry standard for quality, introduced the Apollo platform for bulk production, enhance our DTF offering for unprecedented capabilities, expanded the application reach of our Poly offering, Integrated Smart Curing Technology into our mass production solutions, made major software enhancement to the KornitX platform and brought added-value ancillaries like our RSS smart pallet adjustment technology. With our evolutionary solutions, we managed to penetrate new market segments such as bulk apparel, athleisure, fashion, home decor, technical and footwear, and new geographies such as India, Latin America and other key textile production hubs across the globe. Our diversification efforts extend beyond market segments and geographies. We are also now engaged with new types of customers, such as Tier 1 manufacturers, value-added suppliers and directly with major brands, digital platforms and retailers. Turning to the Apollo. As you may have seen, after successfully installing all three Apollo beta systems for the peak season in Q4, we delivered on our plan of bringing digital apparel production to the mainstream with the launch of the Apollo in January. The feedback from the industry leaders on the Apollo has been outstanding. Customers refer to the release of the Apollo to the start of a new era in direct-to-garment, pushing the boundaries of speed, quality and sustainability further than ever before. The Apollo represents a quantum leap in direct-to-garment printing technology, ensuring businesses can meet the evolving demands of the fashion and textile industries. Simultaneously with the launch, we hosted customers and prospects at one of our beta sites with North American retailers to demonstrate the system at an industrial scale. The event was very successful, and I'm also pleased to report that one of our beta customers has already disclosed the plan to add several more Apollos to their facilities throughout 2024. In 2023, we also made significant strides in the direct-to-fabric market. Our new ink solution unveiled ITMA, combined with our MAX technology has created a best-in-class solution in the growing digital pigment market. This market is going through a massive transition into just-in-time sustainable production and Kornit is leading the market. We continue to believe that the direct-to-fabric market represents a significant long-term growth opportunity, especially with global brands and retailers who have committed to move to sustainable production and offer maximum flexibility. Turning to our operations. In 2023, we worked diligently to achieve our goal of returning to breakeven profitability on an adjusted EBITDA basis. And despite a more challenging environment than we anticipated in the second half, we achieved this goal in the fourth quarter. A key factor to this return to profitability was consistently strong growth in consumables through 2023. This year-over-year improvement in both impressions and consumables indicates continued digestion of capacity within our install base, which we view as a positive leading indicator for future systems demand. Additionally, we have and continued to realign our operating expenses with the current market environment. In 2023, this realignment included cost reduction and efficiency initiatives across our operations. In the first quarter of 2024, we extended this effort through a restructuring and realignment effort designed to prepare Kornit for its next phase of growth. This restructuring, including a meaningful reduction in force, adjustment to our go-to-market strategy, a reorganization of certain business segments, changes to our leadership team and improve operating efficiencies in our supply chain. We expect these proactive measures to contribute to our return to consistent profitability and allow us to protect our robust balance sheet. Lauri will expand on the implications of these cost-saving measures in her prepared remarks. Turning now to the fourth quarter. Today, we reported fourth quarter revenues of $56.6 million, within the range of the guidance we provided in November and adjusted EBITDA margin of 0.3%, which was above the high end of our guidance range. As a reminder, this includes the impact of the fair value of the issues warrants. Despite the persistent macroeconomic headwinds, fourth quarter results were driven by good peak season where we saw double-digit year-over-year growth in impressions and in our consumable revenues. This marks our fourth consecutive quarter of year-over-year impressions growth. Releasing the Apollo is also giving us the opportunity to introduce a creative recurring base revenue model which shift CapEx to OpEx for some customer with this system. This offering sets minimum level of production, reduced barrier to entry, provides more predictability and visibility for our customer and for us, shortens the sales cycle and improves our opportunity to address screen printers. We expect this revenue model to generate around $1 million in revenue per system per year. With that said, in 2024, we continue to expect modest revenue growth and adjusted EBITDA profitability. Our outlook assumes that the challenging macroeconomic backdrop we experienced in 2023 continues into 2024. Based on the actions we have taken to date to improve our operating efficiency and our working capital position, we now anticipate generating positive cash flow from operations for the full year. So in conclusion, we ended the year on a solid footing. During the fourth quarter, we experienced a good peak season with nice growth from some of our key customers and work diligently to bring the business back to breakeven results. Entering 2024, we are focused on our key long-term growth drivers, which include further movement into mainstream bulk production, expansion of our direct-to-fabric business, engagement with key demand generators and further penetration of new segments in key textile production regions. We plan to focus on these areas while returning to profitability and cash flow generation on a full year basis. Before I pass the call over to Lauri, as you all know, Israel faced an horrific barbaric attack in the second half of 2023. While some of our people were impacted, we were resilient and continue to fully support our customers throughout the most important time of the year. We continue to prioritize the safety of our people in Israel and remain confident that our contingency plan secure our business continuity. I want to thank our tremendously dedicated people for their resilience in this difficult time and to thank many of you for your continued support. Now, let me turn the call over to Lauri for a closer look at our fourth quarter and full-year 2023 financials and first quarter guidance. Lauri?
Lauri Hanover: Thank you, Ronen, and good day to everyone. Fourth quarter revenues were $56.6 million, within the guidance range we provided in November. This quarter, we experienced double-digit year-over-year growth in consumable sales, which was more than offset by a decline in systems and services sales as expected. For the full-year 2023, revenues were $219.8 million compared with $271.5 million in 2022. Despite consumables and services demonstrating healthy growth for the full year, the year-over-year decline was primarily attributable to significantly lower system sales in 2023. Moving to margins. Fourth quarter non-GAAP gross margin was 48.6% compared with 36.4% in the same period last year. The year-over-year improvement can be attributed to high-margin consumables comprising the lion's share of total revenues. For the full-year 2023, the non-GAAP gross margin of 38.4% increased slightly from 38.2% in 2022, driven by higher volumes and ASPs and consumables and solid profitable growth in services. This was offset by the sizable decline in system sales volumes, reflecting the challenging environment we faced throughout 2023, and particularly in the last quarter. Looking at expenses. Total fourth quarter non-GAAP operating expenses were $30.1 million, a decrease of about 9% from $32.9 million in the same period last year. For the full-year 2023, non-GAAP operating expenses decreased about 12% to $127.7 million compared to 2022. The continued reduction in expenses reflects the savings achieved by our ongoing cost savings initiatives. In the fourth quarter, we took decisive actions to advance these cost savings initiatives which resulted in a $19.1 million restructuring charge. This charge supports our strategy to align our cost structure with our revenue expectations and to enable operating leverage as we return to growth. Included in this restructuring is a meaningful workforce reduction, a consolidation of facilities and a phasing out of our legacy platforms. We expect this restructuring plan to save approximately $20 million in operating expenses during 2024 versus the full-year 2023. Adjusting for these restructuring charges, our adjusted EBITDA was positive in the fourth quarter, marking a significant improvement over the adjusted EBITDA loss of $6.1 million in the same period last year and the adjusted EBITDA loss of $5.6 million last quarter. Adjusted EBITDA margin for the fourth quarter of 2023 was 0.3% at the top end of the guidance range we provided in November, again, reflecting an improvement year-over-year and sequentially. For the full-year 2023, the adjusted EBITDA loss of $30.9 million was essentially consistent with that of 2022. However, the adjusted EBITDA margin for 2023 decreased to minus 14% compared with minus 11.3% for 2022, primarily due to significantly lower revenues year-over-year. Our cash balance, including bank deposits and marketable securities at quarter end was approximately $556 million. Through cost-saving measures and healthy collections resulting in improvements to working capital, we generated positive cash flow from operations of $2.6 million during the fourth quarter. We remain committed to improving working capital to drive cash conversion. Moving on to our share repurchase program. For the full-year 2023, we repurchased approximately 2.7 million shares, spending an aggregate amount of $55.8 million. The average price paid per share net of fees was 21.03. On January 17, our second quarter proved share repurchase authorization expired. Subsequently, we applied for and obtained Israeli Court approval for a new 6-month period extending through July, allowing us to use the balance of our previously authorized share repurchase program. This unused balance currently amounts to approximately $19 million. Given our current enterprise value, we plan to continue repurchasing shares in the first quarter. Next, I'd like to take a moment to discuss the operating environment. As we discussed on our last earnings call, the consumer environment remains uncertain, which with regard to system sales impacts our customers' purchasing appetite and thus our visibility. Additionally, we continue to expect to face a challenging macro environment in 2024, similar to what we faced in 2023. While we will work proactively with our customers, invest in our product portfolio and improve our operating model, we acknowledge that these macroeconomic headwinds will weigh on our ability to convert leads and plan confidently. With that said, we continue to expect modest growth and modest profitability in 2024 on a full year basis. We are also expecting to deliver positive cash from operations in 2024 on a full year basis. Turning to first quarter guidance. We currently expect revenues for the first quarter of 2024 to be between $43 million and $48 million and adjusted EBITDA margin to be in the negative 16% to negative 26% range. As a reminder, the guidance for revenue and adjusted EBITDA margin includes the impact of the non-cash expense associated with the fair value of the company's warrants to our largest global strategic account. That concludes our prepared remarks. And with that, I will now turn it back over to Ronen to open up the call for Q&A. Ronen?
Ronen Samuel: Thank you, Lauri. Operator, we are now ready for the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Greg Palm with Craig-Hallum Capital Group.
Greg Palm: I guess just kind of looking back at Q4 specifically, I'm wondering if you can maybe characterize the peak season. It sounded like it was maybe a little bit better than planned, but offset by really weak system sales. But just in terms of overall activity, can you comment on capacity the industry relative to 2022, whether it was maybe a little bit tighter than the previous year? Any other color would be helpful.
Ronen Samuel: Yes. Thank you, Greg. So Q4, on the positive side, we can see that the supplies, we saw a very nice supplies growth. Actually, double-digit growth on revenue, on orders of inks. And also, we saw a very nice growth on the impression, which gave us confidence that the customers starting to improve the utilization and capacity utilization of the systems and we'll be ready to starting adding orders of additional systems in 2024 and definitely into 2025. So we see that our customers are growing the number of impressions per system and the overall number of impression and it's very, very clear trend. Another good trend is our service revenue, which grew as well and continue to be strong. And we expect that it will continue to be strong as well next year. For the overall 2023 and specifically Q4, our system revenue and system sales was weak. And this is mainly contributed to the macro environment. Interest rate is still high and many of our customers, some of them after the ITMA event are still waiting and standing in the fence -- so sitting on the fence to take decision. Many of them are telling us that their customers, meaning brands and retailers are still sitting on a pile of inventory that they're trying to get rid of. On the positive side, there are all -- with those that we were talking saying that into 2024, they believe that those inventory will be behind the brands and they will move back to production if it's on the DTF or the DTG markets. So overall, this is the main trend that we see. Looking at our key customers and our global strategic customer, they had a very strong quarter in terms of impressions and in growth. So overall, we are happy to see this momentum continue. And this is the fourth quarter that we see growth on the ink side. But in Q4, we saw double-digit, which is the peak season and to see in the peak season double-digit, is a very strong indication.
Greg Palm: And then my second question is related to the Apollo, maybe a two-parter. Can you confirm that the beta units will be or have been recognized as revenue in Q1? I'm guessing that is the assumption in the guide? And then just your overall outlook for that in terms of contribution for this year and then a little bit more color on maybe this new recurring-based revenue model that you alluded to, which sounds pretty interesting. That's all I'll leave it there.
Ronen Samuel: Yes. So on Apollo, we are very excited. So first of all, Apollo represents for us totally new incremental market that we didn't report before. This is the bulk apparel. This is large quantities or a large volume much, much bigger than the customized design market that we were approaching till now. We are talking with many big, big customer. Some of the fulfillers, brands, retailers but looking into the Apollo. After 4.5 years of development, we installed three systems in North America with key customers and different type of customers. One of them is retailers, big retailers, one of them is more focused on screen, longer run, and one of them is about mainly customized design, one-off. Each one of them work on the system around the clock in the peak season and the feedback is outstanding from all three beta customers. They were super impressed by the quality, the productivity can run up to 400 governments an hour. The automation that all this with one operator and the breakthrough TCO, total cost of ownership. This system is a breakthrough for the direct-to-garment, and we believe that we are going to really create an impact and replace mainstream screen jobs into digital. We also have a very strong pipeline into 2024 and beyond on the Apollo. One of our beta customers already indicated that they're going to add several more systems in 2024, and we are already working on it. We expect the other two betas as well towards more systems, and we already engaged with other customers on really finalizing the contracts for additional systems. We need to understand that 2024 is still a ramp-up period for this product, and we limited the number of products we're expecting for 2024, while we are going to accelerate in 2025. Still, it will be meaningful in 2024. We also are introducing and actually piloting a new business model, a business model that's enabling customers, which is very creative to move from CapEx to OpEx. And customers that are going to build that and actually committing on a minimum level of production that they need to print on the machine. And this reduced the barriers of entry, mainly into the screen printer that's very, very keen in this model when we are talking to them about it. This will create more predictability and visibility both for us and for our customers that are using it. It will create shorter sales cycles and improve our opportunity to address screen as a whole. This business model is going to generate around $1 million per unit per year and this is kind of the minimum. We expect it even to do more than this $1 million. The machine is able to bring much more than that. As you asked about the three systems, one of those systems is on this pilot on OpEx versus CapEx. So in terms of revenue recognition, you will not see the full amount recognized in Q1, but you will see it split into the years with the -- with this model, this specific customer is planning to bring much more than the minimum commitment that we have on this plan. And of course, the rest are going to be recognized in the coming quarters. This pilot, we are going to limit it at this stage, mainly for the Apollo platform. And in only a few cases, we are going to learn a lot from it, and we are planning to report back to all of you the success and how we are going to take it forward.
Operator: Our next question is from the line of Chris Moore with CJS Securities.
Chris Moore: Maybe just stay with the Apollo for a moment. So obviously, it's fair to assume that from a recurring revenue standpoint, it's going to be significantly helpful. For someone like Amazon's purchase of the Apollo, do you expect it to have any impact on their other system purchases?
Ronen Samuel: So I didn't refer specifically to our global key customers or any specific names. We're currently targeting, as I mentioned, with the Apollo a new market, a new type of customers. This is mainly screen fulfillers that run in longer runs, working with mainly brands and retailers and also major retailers that would like to change the supply chain. So this is our first priority to go after incremental market. As I mentioned, one of our beta customers is actually more on the customized design and doing one-off, and they found the products very suitable for them, and they're planning to continue to grow leveraging the Apollo for this product. We assume that in the future, some of our customized design customers, including some of our strategic customers will continue to grow, leveraging this platform as well, but not only this platform.
Chris Moore: Got it. No, that's very helpful. It sounds like lots of new customers there. Any sense for the kind of time frame on the payback for the OpEx model versus the CapEx? Obviously, you're not getting the upfront dollars on the Apollo, but you're getting much more recurring. How long do you think it should take before you breakeven and then profitable there?
Ronen Samuel: So it's not about -- it's the model doesn't work like this. And you actually being profitable from the first impression that the customer is printing. And the model -- the contract is for five years with a minimum commitment of impressions that the customer needs to print per year, the customer knows exactly how much they need to print per impression. And if they print more than the minimum, of course, they need to pay more than that. It gives them visibility and gives them understanding exactly for the cost. It's aligned the interest of the customer and the Kornit together. And we believe that this model is very profitable for Kornit and moving us a bit more to the recurring, so give us more predictability but also a very strong stickiness to our customers, working hand in hand with our customers and helping them to go.
Chris Moore: Got it. Very helpful. Maybe just one more there, so I understand a little bit better. So what would be the reason why a customer wouldn't employ this model?
Ronen Samuel: It's a very good question. This model is not the cheapest one. Actually, customers that knows how to run the systems with better off buying the systems, paying for the -- separately for the service contracts and buying separately the ink. However, they need to know how to run the machine efficiently. And the cost per type of jobs will be different on the amount of ink that they are consuming. The model of -- the creative model of moving to OpEx give predictability to the customers. This predictability of course, is a cost and a customer will pay a bit more. And therefore, it's a good also for Kornit in terms of margin. So it's a trade-off customers that can afford buying systems and then the cash to buy the systems and they know how to run it would be better off to be on CapEx versus OpEx.
Operator: Our next question is from the line of Brian Drab with William Blair.
Brian Drab: First, I just wanted to ask about the restructuring to be sure that I understood. Did you say that the incremental cost takeout would be $20 million related to actions that were taken since the end of the year? And the $20 million in cost takeout in 2024 relative to '23?
Lauri Hanover: Yes, we did say that. We recorded the charge in the fourth quarter. The benefit of the restructuring efforts will be in 2024. And when you look at OpEx on a year-over-year basis, we expect it to be approximately $20 million lower in 2024 than it was in 2023.
Brian Drab: Okay. And it's all coming out of OpEx, not COGS?
Lauri Hanover: There is a portion that is in COGS, but the lion's share is in OpEx.
Brian Drab: Okay. Got it. And then just one other question for not. What is the update and outlook related to upgrades for the Atlas machines. Can you give us a sense for what percentage of the installed base has upgraded and what's the prospect for the balance to be upgraded to MAX?
Ronen Samuel: Yes. So first of all, as I mentioned on my script, MAX Technology and MAX Quality is the new standard of the industry. We are hearing it from the market, from our competitors, but we're also hearing it from our customers that are upgrading to the MAX Technology. They are super pleased about the quality and also the productivity of the MAX. I would say, in 2023, we had a very strong year on the MAX upgrade. We are starting this year with few major orders that we already received from customers to uprade their fleet into the MAX. So you will see in H1, a nice uptick or a nice revenue coming from those upgrades as well. I would say, in terms of number of customers, the majority of our customers already did the upgrades and we only have few customers. Some of them or one of them is very big, that is in the process of deciding if they are going to upgrade, yes or not. And hopefully, this year, there will be some upgrades also within these customers. I would say also that during this year in 2024, we are taking the MAX Technology and the Atlas MAX to the next level. We are going to introduce the Atlas MAX plus. We've shown it at ITMA at FESPA in March in Amsterdam. We are going to show the Atlas MAX plus with additional capabilities. These additional capabilities will open for our customers new markets, new applications and new capabilities, and it will be substantial. And it is going to create a major buzz. I'm not going to get specifically now what are the application, what are the capabilities, we are keeping it to FESPA. I can say, open your eyes and look for FESPA because there will be big news there.
Operator: Our next question is from Erik Woodring with Morgan Stanley.
Unidentified Analyst: This is Maya on for Eric. Maybe just to start kind of as you speak to customers, what is the catalyst that they're looking for that would unlock that spend? I understand the recurring revenue model helps with that, but just in general, unlocking that spend? I'm just trying to understand what changes are going on in the spending dynamic because you're launching new compelling products, you're seeing growth in impressions and consumables demand. So what unlocks that next step?
Ronen Samuel: Thank you, Maya. It's excellent question. Look, we have, by far, the best technology, the best products portfolio in the market. And as you mentioned, there are other elements that we need to go over in order to accelerate the growth of our system sales. And it's different from market to market. Let me start with the market with the direct-to-fabric market, okay, the fashion market. And certainly different dynamics from the direct-to-garment. In the fashion market, when we are talking today to customers and in the last few months, I traveled all over the world to visit those customers, both in India, in Latin America, in Eastern Europe to visit our key customers and key prospects. And they are all telling me the same story. They're all telling me that they have to change the technology from reactive and acid inks to technologies enable them flexibility to create on different material, different fabrics without changing the ink or the technology that enables them just-in-time production and sustainable without consuming water, without pollution. They've been forced to do that by the brands, and they see the legislation, regulations coming over and capturing them. They have to change to pigment. Pigment is the only solution and Kornit is by far the best pigment in the market, the best solution in the market not only in terms of the pigment but in terms of the capability of being able to print on dark fabric with whiting, with XDI, we are the only player in the market doing it. All the big players, all the big fulfillers that I was talking are super interested in our technology. Some of them already adopted it, like the one customer that I visited or one of the customers I visited in India, which is a massive, it's like a city and massive potential of acquisition of many systems and just starting now with one of our systems, on Presto MAX. So the market has to move there. What they are telling us that currently their customers, the brands and retailers still struggling to get rid of the inventory that pile up from the Corona time. And they all believe in talking with those brands during 2024, it will be behind them, and they will go back into full production. We believe that this will open the gate. This will open the gate for our technology, for moving to pigment now that we are also bringing the Visitor with a better hand fill and better black. This will accelerate the growth in the market. As I mentioned, I believe this market is a major growth engine moving forward to Kornit. So this is on -- the direct-to-fabric is really about brands and retail moving back to production. On the direct-to-garment. Again, let's break it to two different markets. One is the traditional market that Kornit was working on is customized design. And what we can see on our key customers and customized design, we have hundreds of them, and we see the same phenomena. Finally, we start to see that they are back and increasing the utilization versus 2021. So many of them, not only printing more than they were printing in 2021 in the peak, but actually utilizing better the systems and we believe that some of them will get into the cycle of adding capacity in 2024 and definitely after the peak season of 2024 into 2025. So this is customized design a very good indication. On the bulk apparel. The bulk apparel is replacing screen. And there, we are going very strong with the Apollo. What is limiting us in 2024 in the Apollo is not the demand in the market. Actually, most of the systems that we are planning to shift and to recognize in 2024, we are already in a very advanced stage of contracts with customers, and the list is almost full for 2024, and now we are working on 2025. As for the MAX Technology, I believe that event like FESPA in March that we have and another event in May that we have as well in Europe will be catalysts to generate more sales into those customers. Some of them are still struggling in terms of cash flow, in terms of financing there, we need to be a bit more creative this model of recurring revenue or moving OpEx, from CapEx to OpEx will help some of them to jump and move ahead into digital or increase the fleet of digital that they're using.
Unidentified Analyst: Great. And then kind of related to that, you mentioned further diversifying your customer base. Where and what products are you seeing kind of the most net new interest? And in your customer conversations, what's driving those competitive wins?
Ronen Samuel: Yes. So if we talk about diversification, let's understand that Kornit was based in the last years mainly on one segment, which is customized design, is one-off customization. Most of our business was in the North America, and most of our business was based on a few big customers that together with us grew this segment of customized design that was not exist before that. Now, the first step that we did in diversification is getting into new market segments, like the bulk apparel, like the athleisure that is growing very nicely for us with the Poly technology, like the fashion, the home decor. We are getting into footwear. We're getting to technical. So all of those are incremental and diversifying our type of customers. So you can imagine that when we are going to these type of segments like footwear or technical, those are totally new type of customers that we didn't have before. Some of them are major, major one. And I will repeat again, the customers that have visited in India is a massive potential for growth for direct-to-fabric. So I see a really big potential of growth in the future for Kornit in the direct-to-fabric, both expanding geography to places like India, Turkey, Morocco, but Latin America is very strong as well, but we see production moving also nearshore and onshore to Mexico and even to North America and, of course, the EMEA. So this is one part. Another part that we put a lot of focus in the last, I would say, two years, is really growing the business with retailers and brands. Major part of our business today is already coming with those retailers. Some of them midsized retailers in the U.S. that having 500, 600 shops all around the U.S. and changing the business model from outsourcing production to screen printing, moving production in-house into the warehouse in order to do just-in-time production be relevant and shipping and replenishment directly to the shelf of their brick-and-mortars. So we see it very clearly, and we have a long list of customers that are already using our technology. Some of them already scaled up, and we have one of them that already have the Apollo. So this is totally new -- another new type of diversification that we didn't have before, and it's growing, and we are putting more focus. We actually, with the new operating model, we are building a team that is just going after the retailers and the brands and the demand generation. We are getting into a pilot, a new pilot with a big digital platform, leveraging KornitX and leveraging our installed base. Those, of course, never been our customer before with a huge potential as well. So these tons of diversification, new customer, new geographies, new products, new segments and I'm very pleased that we managed to do it in the last two years, and I really hope that soon we will see the result in the growth of system sales as well.
Operator: Our next question is from the line of Tavy Rosner with Barclays.
Tavy Rosner: Most of them have been asked. I just wanted to ask about the cash. You mentioned about 550 million net cash. I'm wondering, are you looking into M&A? Are you looking to potentially buying back more shares? How should we think of the balance going forward?
Ronen Samuel: I'll start, and maybe Lauri will add on top of that. As we mentioned, we continue with the buyback of the shares. We got approval from the authorities in Israel to continue. We have about $90 million that we are planning to execute during Q1. And as we mentioned before, we're always looking for opportunities of organic and inorganic activities to leverage our cash position. An example of organic leverage of the cash position is this move from CapEx to OpEx model. We will see the impact, and we believe that there will be a great justification to use our balance sheet for this direction. And of course, we are looking for inorganic in specific areas of growth in the companies. Once we will have something to report, we will share it with you. Any additional question, Tavy?
Tavy Rosner: Yes, just about the model, like should we expect a similar seasonality in 2024?
Ronen Samuel: Yes. We, in fact, let me correctly, you're asking if we expect to see revenue from the model in 2024?
Tavy Rosner: Yes. Like, will you see a more back-end loaded type of year similar to what we did in 2023?
Ronen Samuel: It was difficult to hear you. Can you repeat the question, please? Is it for the model? The overall model of specific [indiscernible]?
Tavy Rosner: Yes, just the revenue growth, we should expect similar seasonality in '24 compared to '23?
Ronen Samuel: Yes. So in terms of 2024, you will see very similar seasonality across the quarter. Q1 is the lowest quarter in terms of supplies and system sales. You will see stronger Q2 and H2 will be much stronger than H1, both from ink perspective and a system perspective. In the same way, you will see an improvement on our EBITDA and profitability across the quarter. While we gave a guidance of negative EBITDA in Q1, we’re expecting Q2 to be closer to breakeven and H2 to be profitable on EBITDA.
Operator: [Operator Instructions] Our next question comes from the line of Jim Ricchiuti with Needham & Company.
Jim Ricchiuti: Lauri, I want to make sure I heard you correctly. You're saying that you're expecting modest growth for the year in 2024?
Lauri Hanover: We're -- yes, that's what we said. We -- you can expect modest revenue growth.
Jim Ricchiuti: Got it. And so maybe it would be helpful to understand what may go into that outlook? So for instance, should we -- what are the expectations, for instance, with your large global customer in terms of new equipment purchases or upgrades? And again, I understand you can't be specific, but it would be helpful in terms of how to think about that. The contribution from Apollo, sounds like you're expecting some meaningful revenues, although is it fair to say that comes in more in the back half of the year?
Ronen Samuel: Okay. So first of all, let me refer to the modest revenue growth. And let me explain from where is it coming. So when we say modest revenue growth, we have three major parts in our P&L on the revenue. One is ink, services and systems. Income system, we have a relative very high visibility and predictability. So we expect ink to continue to grow year-over-year. We had a very strong year in 2023, and we expect it to continue to grow also in 2024. We have a very good visibility, and we see how Q1 tracking as well. On service, we have also a very good visibility because a major part of the service is recurring revenue and some other parts are orders for upgrades like the MAX upgrades that we discussed before. We have a good visibility in service. We believe that will continue to grow as well in 2024. Where we have a relative lower visibility is on system sales. Now some parts of systems sales, we have good visibility, like the Apollo. As I mentioned, we already know who will be the customer for 2024. We are working with them. So the Apollo is one part of it. We have better view also on the direct-to-fabric. Some on the athleisure. But still, we have our pipeline. We need to build it. And some of it, we are planning to build during FESPA event and the main event that we have. So at this stage, still a lot of work to do to build the pipeline on the systems. But overall, we believe that we are going to see a modest growth on overall revenue for 2024. As for our global strategic customers, of course, we cannot get into their purchasing plans for 2024. What I can tell you is that we are working very closely with them. We have a very good visibility where they are heading. I mentioned that the peak season was strong for them. Without getting into too much details and overall 2023 is strong. And I believe that they will continue to grow in 2024 per the plan. As for the upgrades that I mentioned on previous call, we still didn't get the PO decision if they're going ahead in 2024 of upgrading the fleet to the MAX, and if yes, how many of them. We still are under discussion, and we will see once we will have more information, material information, we will share with you. There was another part -- and you had another...
Jim Ricchiuti: The other question I had was just as it relates to Apollo, and I do have another follow-up. Apollo, should we assume that the scale up on the revenue on Apollo is more skewed more towards the second half of the year? Or do you see Apollo being a contributor throughout the year? I know you have some revenue in Q1, obviously.
Ronen Samuel: Yes. So you will see some -- of course, you will see revenue in Q1 and Q2, but it's correct to assume that more revenue will -- from the Apollo, you will see in H2 of this year.
Jim Ricchiuti: Got it. And the follow-up just with respect to this recurring revenue based model of this revenue model, is there's -- it's a 5-year contract, minimum impressions per year. Presumably, that scales up each year. Is that fair to say?
Ronen Samuel: No, it's a minimum volume per year that the customer needs to achieve, and it doesn't change from year-to-year. It's a minimum, but we expect the customer will buy additional systems and grow between the years.
Jim Ricchiuti: And it's mainly geared run into the Apollo. It would seem like this would also lend itself this model to other products, I guess, including the direct-to-fabric business? Is this potentially a template for you looking out a couple of years?
Ronen Samuel: So right now, as I mentioned, we are starting with the Apollo and it's at pilot. We will learn a lot from it. And of course, we are looking to leverage it if it will be successful to other products and other segments. It can be very successful. It can be very profitable. It can open new markets for us. It’s a very strong stickiness with our customers. Those customers that we are speaking with about it are very excited. Some of them in the end decided to go on CapEx and not the OpEx once they see the full cost of the OpEx. But for the other, it's very, very attractive. So it depends on the customer. And this is part of the innovation that Kornit is bringing, Kornit bringing innovation, not only on the technology, a lot of innovation in marketing, but also innovation on the business model. We are taking it step by step, and we are starting only with these products and limited number of customers. We will learn from it and then we'll roll it out -- we'll decide how to roll it out to other products.
Jim Ricchiuti: Can you say how many customers?
Ronen Samuel: Right now, we have one customer running in this model, and we expect to have a few more in the next few months.
Operator: Thank you. As there are no further questions, I would now hand the conference over to Jared Maymon for closing comments.
Jared Maymon: Thank you all very much for your time today. As always, should you have any questions, please feel free to reach out directly. And operator, you can close the call.
Operator: Thank you. The conference of Kornit Digital has now concluded. Thank you for your participation. You may now disconnect your lines.